Operator: Good afternoon. Before Swiss Water Decaffeinated Coffee Inc. conference call starts, they are required to remind you that certain information in today's presentation is forward-looking in nature. Any such forward-looking information or statements are based on assumptions that they considered reasonable at the time the information was prepared. Such information involves known and unknown risks, uncertainties and other factors outside our control that could cause actual results to differ materially from those expressed in the forward-looking information. Swiss Water Decaffeinated Coffee Inc. does not assume responsibility for the accuracy and completeness of forward-looking information. Similarly, they do not undertake any obligation to publicly revise this forward-looking information to reflect subsequent events or circumstances, except as required by law. Please refer to Swiss Water Decaffeinated Coffee Inc.'s Management Discussion and Analysis posted on SEDAR and Swiss Water's Web site for a full discussion regarding forward-looking statements therein. I'd now like to hand the floor over to President and CEO, Frank Dennis. Please go ahead.
Frank Dennis: Thank you, Matt. Good afternoon, everyone. And thank you for joining us today. I'm Frank Dennis, President and CEO of Swiss Water Decaffeinated Coffee Inc. And with me is Iain Carswell, our CFO. Iain and I are here today to discuss Swiss Water's Financial Results for the Three and 12 Months Ended December 31, 2024. As usual, I'll begin with a brief review of our performance, then Iain will provide more details about our financial results before I return to tell you about our longer term plans and expectations. 2024 was a year of transition and resilience for Swiss Water. While the broader coffee market remained volatile, we continue to execute on our strategy, ensuring consistent supply for our customers, maintaining operational efficiencies and strengthening our financial position. A key priority throughout the year was reliability and quality in an increasingly unpredictable environment. Global logistics disruptions resurfaced, including blockages in the Suez Canal, reduced crossings at the Panama Canal and increased cross docking by steamship lines, all of which slowed coffee shipments worldwide. These factors, combined with elevated coffee futures prices, led to shifts in purchasing behavior with some roasters carrying additional inventory while others took a more cautious approach. Coffee importers on the other hand entirely abandoned inventories due to the coffee futures market levels and inversion of the market structure. Despite these challenges, Swiss Water was able to ensure product availability by leveraging our strong balance sheet to hold additional inventory in key locations, ensuring our customers could access supply when they needed it. This proactive approach allowed us to mitigate the impact of logistics delays and market tightness, providing continuity for our customers even as broader supply chain face disruptions. 2024 also marked our first full fiscal year operating in our consolidated Delta facility. This transition has allowed us to run more efficiently, reduce prior capacity constraints and refine our production processes with important improvements in yield, leading to higher quality. While we are still optimizing aspects of our operations, the long term benefits of this move are becoming evident in both cost management and product quality. From a financial perspective, we made further progress in strengthening our balance sheet by repaying the debenture with warrants held by Mill Road Capital reducing our overall debt burden and improving financial flexibility. While disciplined capital allocation remains a focus, this repayment provides additional flexibility as we move forward. Looking ahead, we expect continued volatility in the coffee market, particularly as high NYC coffee futures prices and inversion impact purchasing behavior and supply chain efficiency. However, we believe Swiss Water is well positioned to navigate these conditions supported by our strong customer relationships, expanded production capacity and a proven ability to manage through changing market dynamics. With that, I'll turn the call over to Iain to walk through our financial results, and I'll return later to discuss our outlook for 2025. Iain?
Iain Carswell: Thank you, Frank. And good afternoon, everyone. I am pleased to report that Swiss Water continues to demonstrate resilience and strong execution in the dynamic and volatile market. Our Q4 and full year 2024 results reflect solid progress in optimizing our operations, strengthening our balance sheet and maintaining a competitive position in the specialty decaffeination market. With the successful consolidation of all production onto a single site in delta, we have reduced capacity constraints and achieved meaningful efficiency gains. These improvements, coupled with the strong demand for our chemical free decaffeination process have enabled us to maintain processing volumes and enhance profitability despite persistent macroeconomic and industry challenges, while the full repayment of our Mill Road debt has further fortified our financial flexibility. Total volumes shipped decreased by 8% in Q4 and remained flat for the full year. The Q4 2024 decrease was expected as Q4 2023 volumes were higher than normal as we caught up on a backlog of orders that had accumulated while we moved from Burnaby to Delta. Q4 2024 represented our second highest quarter ever for volume in the face of significant macroeconomic headwinds. We saw a significant spike in orders during December as customers replenished stock to meet demand in spite of volatility in the NYC. Looking at volumes by customer type, shipments to roasters, those customers who roast and package coffee to sell to consumers in their own coffee shops or for home or office consumption were down by 18% in the fourth quarter and by 3% for the year. While shipments to importers, those customers who resell our coffees to roasters where and when they need it, were up by 5% in the quarter and also for the year. Looking at the roaster segment another way, specialty roaster volumes were up by 7% in Q4 and 3% for the year. These accounts serve the out of home consumer primarily in cafes and restaurants in our key geographic markets. Commercial roaster volumes were down 22% in the quarter and by 1% for the year. Overall, we consider maintaining year-over-year total volumes within the context of a major run-up of the NYC to be a significant achievement in 2024. Turning now to revenue. Q4 revenue was up by 19% to $49.2 million compared to $41.2 million in Q4 2023. Full year 2024 revenue was $173.1 million, reflecting a 4% increase year-over-year. The primary driver to the increase in revenue for the quarter and year is the NYC, the effects of which flow through our green coffee revenue. This was offset by fluctuations in the volume processed. Looking at our costs, Q4 cost of sales was $42.3 million, up 23% year-over-year. Full year cost of sales was $146.9 million, which was flat with the prior year. The increase in the fourth quarter was driven by an elevated NYC, partially offset by a decline in volume over the prior year. As previously mentioned, 2023 included a one-time noncash depreciation expense resulting from the [right] [indiscernible] [unsalvaged] assets at our old Burnaby facility. There was no such charge this year. Consolidating production into a single facility has allowed us to achieve greater variable cost, controls and efficient utilities usage. As for green coffee costs at an average of $2.83 per pound in the fourth quarter, the NYC was up 63% from $1.74 per pound in Q4 last year. For the year-to-date, the NYC averaged $2.35 per pound, up 37% from $1.72 last year. With coffee features sitting at these near record prices, we're seeing some customers work through their existing inventories while waiting for prices to decline before restocking. This natural market cycle has caused some volume fluctuations. But despite an inverted futures market and ongoing supply chain disruptions, our team has successfully navigated these challenges. Through strategic inventory positioning and disciplined sourcing, we've maintained sufficient stock in key locations, ensuring our customers could enjoy uninterrupted access to our high quality decaffeinated coffee. We're monitoring early signs that these elevated coffee prices are beginning to influence consumer purchasing patterns, which Frank will explore in more detail in due course. Exchange rates between the US and Canadian dollars can significantly impact our bottom line and cash flow. Most of our revenue comes in as US dollars but we will pay a substantial portion of our costs in Canadian funds. We use financial hedging tools to manage some of this exposure. The good news is that when the US dollar strengthens as it has this year that works in our favor, all else being equal. In Q4, the US dollar averaged CAD1.40, up CAD0.04 from CAD1.36 in the same period last year. During the year, the US dollar CAD1.37 compared to an average of CAD1.35 in 2023. This appreciation had a positive impact on our revenues when they were converted to Canadian dollars. Q4 gross profit was $7 million, up 1% year-over-year. Full year gross profit was $26.2 million, up 39% year-over-year. Gross margin percentage declined slightly to 14% in Q4 and increased slightly to 15% for the full year. Turning now to operating expenses. Q4 total operating expenses were $3.8 million, up 8% year-over-year. Full year total operating expenses were $15.1 million, up 15% year-over-year. Administrative expenses increased by 21% in the quarter and 25% for the year, primarily reflecting an increase attributable to salaries and wages associated with the construction of Delta Line 2 no longer being capitalized and a noncash increase in stock based compensation, driven by the increase in our share price, as well as planned headcount and wage increases and higher professional fees to a lesser extent. These increases were partially offset by cost savings and efficiencies we are seeing after consolidating to one location. Sales and marketing expenses were 18% lower in the quarter and 7% lower for the year, reflecting the timing of marketing spend, some of which is now planned for 2025. Q4 net income was $2 million compared to $900,000 in Q4 of 2023. Full year net income was $1.3 million compared to a loss of $500,000 last year. Last year included several onetime costs related to our exit from the Burnaby facility and consolidation of operations in Delta. Q4's decrease in nonoperating or other income and expenses was driven by a $460,000 decrease in finance expense largely attributable to a decrease in the interest on the Mill Road debenture following its repayment and a $1.5 million increase in foreign exchange gain. For the year, we saw a $2.6 million increased loss on risk management activities related to the volatility of the NYC, a $1.1 million decrease related to the noncash revaluation of the fair value of the embedded option related to the Mill Road warrants, driven by fluctuations in our share price and the risk free interest rate. We saw an increase of $470,000 in finance expenses as the interest in construction loans used for the commissioning of our second production line and Delta are no longer capitalized, and we saw an increase of $1.6 million in foreign exchange gain -- in our foreign exchange gain. Q4 adjusted EBITDA was $4.9 million, down 2% year-over-year. Full year adjusted EBITDA was $14.3 million, up 7% year-over-year. As with gross profit, fluctuations in adjusted EBITDA in both periods was primarily driven by cost savings resulting from the consolidation of our operations at a single location and lower utility rates. Furthermore, Seaforth, our warehousing and logistics subsidiary once again made a positive contribution to adjusted EBITDA in 2025. These positive impacts were partially offset by fluctuations in processing volumes, higher operating expenses and by increased losses on our risk management activities because of the near record high quality futures prices had to contend with this year. Turning now to inventories. During the second half of 2023, the commissioning of our second production line in Delta led to an acceleration in raw materials usage and increased shipments of finished goods. As a result, we closed 2023 with inventories at their lowest level since Q1 of 2021. As planned, we continue to manage our inventory position down during the first half of this year. This was in part because we consumed the last remaining coffee inventories we built up to bridge last year's move out of Burnaby. Meanwhile, the logistic delays affecting freight passing through the Panama Canal slowed [indiscernible] coffee into Vancouver during this year. This became a matter of increasing concern. So to offset the risk of delayed deliveries impacting our ability to meet our customers' commitments, we started to increase our coffee inventories from some origins during the third quarter. As a result, when combined with the effect of a rising NYC, our closing fourth quarter inventory volume rose $14.2 million to $44.5 million. At this level, we are confident we have sufficient inventory on hand to support our operations and near term growth. As always, we remain focused on optimizing inventory levels and proactively managing down our working capital commitments. Specifically, given the current market conditions, we are focusing on more specific inventory targets to reduce working capital interest expenses. Key milestone in Q4 was the full repayment of the Mill Road Capital debenture held for $15.9 million. The total repayment consisted of $15 million of principal and $900,000 of accrued interest. Following this payment, all obligations, duties and responsibilities contracted to the debenture were terminated. At the year end, Swiss Water held $8.5 million in cash compared to $11.1 million at the end of 2023. With that, I'd like to call back to Frank.
Frank Dennis: Thanks, Iain. As we enter 2025, Swiss Water remains focused on operational execution, financial discipline and ensuring reliable supply for our customers in what continues to be a dynamic environment. While the broader coffee market remains volatile, we are well positioned to navigate these challenges through a combination of premium product offerings, a diversified global customer base and disciplined cost control. Our key priorities for the year include supporting our customers through market volatility. High coffee prices and ongoing supply chain disruptions have impacted purchasing patterns with some roasters holding additional inventory while others have scaled back commitments. Swiss Water's ability to hold inventory in key locations remains a competitive advantage, ensuring that roasters can access supply when need despite shifting market conditions. We will continue to manage our sourcing strategies carefully, balancing cost efficiency with supply reliability, optimizing production efficiencies, quality and cost control. The transition to our expanded Delta facility has provided us with increased production capacity and quality improvements, allowing us to better serve our customers. Both decaffeination lines are fully operational. We are focused on further process optimization to improve product quality and throughput. We leverage operational earnings from Line 1 to drive efficiencies on Line 2, ensuring we maximize capacity utilization while improving product quality and consistency, and maintain a disciplined approach to capital spending, prioritizing targeted investments, enhance productivity and margin performance. Managing financial flexibility and balance sheet strength. Mill Road debt fully repaid in a strong financial position, allowing us to reduce interest expenses and maintain flexibility for future investment decisions. Capital allocation will remain disciplined with a focus on managing working capital efficiency, particularly in a high coffee futures market while continuing to reduce debt over time. Given the ongoing volatility in currency and commodity markets, we will continue to refine our hedging and risk management practices to help mitigate financial impacts. Reinforcing our competitive position in chemical free decaffeination. Swiss Water's premium decaffeination process remains a key differentiator, delivering high quality, chemical free and organic coffee to roasters and importers worldwide. Long term demand for chemical free decaffeination remains intact with consumers focused on better for you products driving growth in the segment. Our diversified global customer base, which includes large commercial roasters, specialty coffee brands and importers, provide stability across different market segments. While this is not a high growth category, our ability to provide a high quality chemical free decaffeinated coffee keeps us well positioned for share gains over the long term. With that, operator, please open the line for questions.
Operator: [Operator Instructions]. Your first question is coming from Marla Marin from Zacks.
Marla Marin: So based on what you've seen in past down cycles, would it be fair to accept that the end consumer to perhaps [switch] to noncaffeinated coffee but continue to consume the same amount?
Frank Dennis: Can you just repeat that? I just missed you, little bit of background noise there.
Marla Marin: I said, based on what you've seen in prior downturn -- cyclical downturns, would it be reasonable to expect the end consumer to continue bringing the same amount but maybe less expensive drink?
Frank Dennis: We haven't really seen a huge downturn per se yet in overall consumption. We've seen some grocery declines in the United States, small few percentage points. And that -- from our past experience that tends to be kind of the result is there may be minor episodic declines until the New York futures market comes back maybe into more long term average type zones. So there can be periods of time where the consumer will, yes, they'll downgrade, they might buy -- start buying private label. We definitely see that. We already see a shift to private label away from branded, which is interesting. They'll also buy smaller pack sizes. And so there may be some decline in essentially the consumer inventory as well and that kind of onetime reduction has an effect across the marketplace. But overall, for us, what we see is we are still able to add additional new customers. We were net positive with customer addition in 2024, which was very encouraging. And we continue, even in a very difficult market period here, to find new development opportunities, which help our overall volume. So while the market might be going one particular way and despite super high futures markets, we still find ways to find new and attract new customers to our proposition, which is very encouraging from my point of view.
Marla Marin: So does that mean that's one of your outreach to the extent that you're doing outreach that some of your outreach might change just to respond to the industry dynamics right now?
Frank Dennis: It does change slightly where we might be focusing a little bit less on importers and more kind of direct-to-roaster business. We find ourselves taking the position that importers have taken for many, many years as they've reduced their inventories, we've maintained our spot position and that's what I was referring to in terms of having additional inventory. We're just positioning that our existing inventory in spot positions throughout the US, Europe and that enables us to have and maintain some of the direct-to-roaster relationships that help support our overall business volume.
Operator: [Operator Instructions] Your next question is coming from Richard Rudgley from Glenbrook Capital.
Richard Rudgley: Congratulations on a really strong quarter, as you say, given quite a few headwinds. I just wondered if you could elaborate a bit on the potential impact of tariffs. And also if you're seeing any of your smaller customers feeling a lot of pressure due to the elevated coffee prices and whether some of them might go under and that might affect you in some way?
Frank Dennis: So kind of two questions there, Richard. First, I'll deal with tariffs. Currently, tariff structure isn't applying to our product, decaffeinated coffee. Right now, of course, everyone's in a holding pattern until April 2 from an import tariff point of view. For the brief period that -- those tariffs were in place, which was last week. We crossed coffee under the concept of nonsubstantial transformation, which the US Customs Border Patrol views decaffeination is a nonsubstantial transformation. In other words, the origin of the product doesn't change after decaffeination. So unless there are tariffs against Colombian -- against Colombia, Brazil, Sumatra, Peru, our product will not attract tariffs and that is a very good situation to be in. As we know, roasted coffee does attract tariffs. And so we are seeing some problems with some of our Canadian customers that have operations both north and south of the border that will cause them issues for sure. I think they're much more focused on the 90% or 95% of their business that's regular as opposed to decaffeinated coffee. So I'm not sure they will have a major impact on us. But the key thing is that we've been able to cross coffee into the US without attracting tariffs, other than on Mexican coffee, which we crossed and that did attract the tariff. So we're waiting for April 2nd and hopeful that other coffee producing countries are not slapped with tariffs. And in that case, our ability to cross under the nonsubstantial transformation concept will -- should remain in place. Number two, the idea of risk, counterparty risk associated with very, very high futures prices and margin calls, which are really a bigger issue for those who are in the coffee supply chain, we have seen some issues. We've seen a few small failures in the importer exporter space. Roasters seem to be okay, though. They generally can pass their prices on to end customers and they don't hedge coffee, they are long the product the issues with those who are short the product and we have seen some instances. And of course, there's always rumors out there, but we've only seen one out of Brazil. And so far, people are being able to manage and the major commodity banks that fund this industry are sticking with their customers so far.
Iain Carswell: Let me just add to that, Richard. In 2024, we didn't see a material uptick in bad debt, which was a good thing. As Frank said, there's definitely more risk in paying close attention to that. We're certainly not extending extended payment terms to our customers. So we're being very vigilant and careful. But right now, we're not seeing, as I said, a material and increase in bad debt is coming through.
Operator: Thank you. That concludes our Q&A session. I will now hand the conference back to President and CEO, Frank Dennis for closing remarks. Please go ahead.
Frank Dennis: Thank you, Matt. Before we conclude, I want to thank our employees, customers and shareholders for their continued support. 2024 was a year of transition and disciplined execution. We successfully navigated logistics disruptions and market volatility while ensuring reliable and high-quality supply for our customers and strengthening our financial position. As we move into 2025, our focus remains on delivering high quality chemical free decaffeinated coffee, optimizing production efficiencies and managing financial flexibility. While we expect continued industry challenges, our expanded production capacity, strong customer relationships and disciplined approach position us well for the year ahead. Thank you very much for joining us today. That concludes our call.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.